Operator: This afternoon, Bohn Crain, Radiant Logistics' Founder and CEO and Radiant's Chief Financial Officer, Todd Macomber, will discuss Financial Results for the Company's Third Fiscal Quarter and Nine Months Ended March 31, 2017. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the Company that may cause the Company's actual results or achievements to be materially different from the results and achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the Company’s actual results or achievements to differ materially from those set-forth in our forward-looking statements, such factors include those that have in the past, and may in the future, be identified in the Company’s SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now, I’d like to pass the call over to Radiant's Founder and CEO, Bohn Crain.
Bohn Crain: Thank you, Tim. Good afternoon, everyone and thank you for joining in on today’s call. We’re very pleased to report another solid quarter with continued margin expansion and earnings growth in our seasonally slowest quarter ended March 31, 2017. We posted adjusted EBITDA of $6.5 million for the quarter up $1.8 million or 39.5% over the comparable prior year period. We are also encouraged by the margin characteristics of our business particularly given the broader market environment of excess capacity and general margin pressures on the industry. In the aggregate, net transportation margins improved 190 basis points to 24.5% up from 22.6%. While our U.S. brokerage business was negatively impacted by the margin pressures associated with excess capacity, this was more than offset by margin improvement we enjoyed in our much larger forwarding operations. We also saw meaningful improvement in Canada where net transportation margins improved 430 basis points to 17.8% up from 13.5%. Our adjusted EBITDA margins also improved 310 basis points to 14.2% up from 11.1%. As we previously discussed, our incremental cost of supporting that next dollar of gross margin is very small and we're very excited about our opportunity to drive further adjusted EBITDA margin expansion as we continue to scale the business and leverage the benefits of our ongoing technology investments. We also saw meaningful improvement in our adjusted net income attributable to common shareholders at $3.4 million or $0.07 per basic and fully diluted shares for the quarter compared to adjusted net income of $1.8 million or $0.04 per basic and fully diluted share for the comparable prior year period. In addition we also generated approximately $6.3 million in cash from operations for the quarter and a total of $15.5 million in cash from operations for the nine months ended March 31. We also have very low leverage on our balance sheet and enjoy approximately $47 million in availability under our existing credit facility and continue our disciplined approach of working to put this low cost of capital to work acquiring acquisition candidates that bring critical mass from a geographic standpoint, purchasing power and/or complementary service offerings to the current platform. In this regard we recently completed our acquisition of Canada-based Lomas Logistics which operates as a third party logistics provider servicing companies across a diversified range of industries including consumer goods, healthcare, food and technology and operates in Ontario and British Columbia. In addition, we have a number of additional acquisition candidates under consideration and we look forward to providing further updates as these opportunities progress. With that, I'll turn it over to Todd Macomber our CFO to walk us through our detailed financial results and then we'll open it up for some Q&A.
Todd Macomber: Thanks Bohn, and good afternoon everyone. Today we will be discussing our financial results including adjusted net income and adjusted EBITDA for the three and nine months ended March 31, 2017. Quarterly net income results, for the three months ended March 31, 2017 we reported net income attributable to common stockholders of $396,000 on $181.8 million of revenues or $0.01 per basic and fully diluted share which includes $446,000 of transition and lease termination costs and a $737,000 charge for change in contingent consideration expense. For the three months ended March 31, 2016 we reported a net loss attributable to common stockholders of $2,230,000 on $178.3 million of revenues or a loss of $0.05 per basic and fully diluted share. This represents an improvement of approximately $2,626,000 over the comparable prior year period. For quarterly adjusted net income results for the three months ended March 31, 2017 we reported adjusted net income attributable to common stockholders of $3,359,000. For the three months ended March 31, 2016 we reported adjusted net income attributable to common stockholders of $1,766,000. This represents an improvement of approximately $1,593,000 or approximately 90.2%. For quarterly adjusted EBITDA results, we reported adjusted EBITDA of $6,488,000 for the three months ended March 31, 2017 compared to adjusted EBITDA of $4,650,000 for the three months ended March 31, 2016. This represents an increase of $1,838,000 or approximately 39.5%. Adding back transition costs associated with SBA's back-office represents an additional $446,000 adjusted EBITDA would have been $6,934,000 for the March 31, 2017 versus $5,204,000 for the March 31, 2016 which includes an add back of transition cost of $544,000. Overall this represents an improvement of $1,730,000 or 33.2%. And moving along the nine month results are as follows; for the nine months ended March 31 we reported net income attributable to common stockholders of $3,846,000 on 575.8 million of revenues or $0.08 per basic and fully diluted share which includes $1,307,000 of transition and lease termination costs and additionally a $1,793,000 charge on change in contingent consideration expense. For the nine months ended March 31, 2016 we reported a net loss attributable to common stockholders of $4,930,000 on 600.1 million of revenues or a loss of $0.10 per basic and fully diluted share. This represents an improvement of approximately $8,776,000 over the comparable prior year period. For the nine months adjusted net income results - for the nine months ended March 31, 2017 we reported adjusted net income attributable to common stockholders of $12,364,000. For the nine months ended March 31, 2016, we reported adjusted net income attributable to common stockholders of $9,200,000. This represents an increase of approximately $3,362,000 or approximately 37.3%. Looking at the adjusted EBITDA results, we reported adjusted EBITDA of $22,680,000 for the nine months ended March 31, 2017 compared to adjusted EBITDA of $18,986,000 for the nine months ended March 31, 2016. This represents an increase of $3,694,000 or approximately 19.5%. Adding back transition costs associated with SBAs back-office represents an additional $1,263,000 adjusted EBITDA would have been $23,943,000 for the March 31, 2017 period versus $20,917,000 for the March 31, 2016 period which included an additional add back of transition cost of $1,931,000. Overall it represents an increase of $3,026,000 or 14.5%. With that, I will turn the call back over to our moderator to facilitate any Q&A from our callers.
Operator: [Operator Instructions] Our first question comes from the line of Mark Argento of Lake Street Capital Markets. Please proceed with your question.
Mark Argento: Just wanted to get some thoughts in terms of the M&A opportunities out there, how do you see that shaping up given the markets went up?
Bohn Crain: So I think it's kind of - we’re continuing on the trends. I think no new surprises fairly consistent from some of our prior reconnaissance which ultimately would translate into. Generally speaking we’re spending our time looking at what we would view as the smaller tuck-in type acquisition opportunities which will manifest itself in existing agent station, looking to convert the company owned stores, agent stations in competing networks who can't get liquidity where they are, who might have an interest in joining our network. So it kind of in the forwarding space that's kind of principally where we'll be looking while we continue to look for tuck-in acquisition opportunities that could be supported from Chicago or Toronto and kind of the other platforms. And then from time-to-time we'll look at larger deals, there is a fair number of things in the marketplace. So kind of the general theme is continuing, expect us to be kind of serially doing smaller tuck-in type transactions following the general valuation and structure that we've all become accustomed to, at least in our world which is using earn-outs and valuations in the four to five times range for these smaller acquisitions. And from time-to-time we look at larger deals and if we're compelled or feel that there's enough value there, than we can pursue those as well like we did with Wheels.
Mark Argento: And how would you characterize the pricing environment you guys are seeing out there, obviously looks like some of that excess capacity have come out of the trucking side of the equation. Are you guys seeing customers looking to lock in longer-term where are we in terms of taking that excess capacity out of the system?
Bohn Crain: Well I think the practical answer is unfortunately we’re not there yet in that scene. Most pronounced on our U.S. brokerage operations with our intermodal and truck brokerage being negatively impacted by those things. So, we think ultimately over the long-term there will be a rebalancing and the clouds will part and the sun will shine through, but in the interim where we and the guys in Chicago in particular are under some pressure on that segment. Fortunately for us it's a small piece of the equation for us. And we've been able to kind of outdistance any of that negative side with what's been going on in the go forwarding operations as well as what's up in Canada. But you can read a lot of the industry digest and everybody seems to think that things are going to revert in a few out quarters from here, but whether and when that ultimately manifests itself is kind of beyond our pay grade to make that call.
Mark Argento: I think, maybe I spend a lot but it was last year that you guys decided to move away from providing guidance. Should we just assume that's going to stick or could you see starting to provide a little guidance if and when you get that certain level of visibility back that you're looking for?
Bohn Crain: Well, a little cynically I would say right now - I think to answer your question we have no intention of kind of getting to provide guidance near-term so that’s the practical answer and I don't know if you can feel the smile through the phone. But we haven’t been providing guidance but we've been meaningfully outperforming and our stocks been performing quite nicely. So we don't feel a need to rush back into that construct.
Mark Argento: So guidance is over 8 is what I’m hearing?
Bohn Crain: 8 million, brother.
Mark Argento: No I hear, I guess more and that's fine, I respect that, more than anything else people are holding hope and obviously not the stock has been acting well that - returning guidance is an important part of the equation obviously it's not. So we'll assume will be flying a little blind on the guidance thing for a while, but congrats on a good quarter guys.
Operator: Our next question comes from the line of Marco Rodriguez of Stonegate Capital Markets. Please proceed with your question.
Marco Rodriguez: I was wondering may be if you could spend a little bit time on the forwarding business, you mentioned in your prepared remarks that you saw some pretty nice margin improvement there. Can you talk a little bit about the drivers there?
Bohn Crain: I think a lot of it has really come through - so there is couple different aspects and I can differ to Todd on some of the underlying details but I think a big piece particularly in kind of getting our gross margin dollars to the bottom line has come through ultimately improvements in the operations in our company-owned stores and kind of more rigorously managing our labor dollars as a function of gross margins in those company-owned stores. And as we’re successful in doing that - that really has a very positive financial impact for us but more broadly I think the stations are independent agent stations as well as the company-owned stores have just done a good job out there in growing their businesses and preserving in some cases enhancing the margins in the business. This is relatively clean quarter and that there's no kind of M&A that's not in the prior year period. So this is a pretty clean shot at kind of what the business is doing organically. And so we saw some decent growth and our gross margin dollars on an organic basis. And so we feel pretty good about that.
Marco Rodriguez: Then in terms of the environment for forwarding, we've heard a little bit from some other players in the last few weeks, just kind of wondering how you’re looking at that business and kind of the expectations for that business next quarter and how you might be thinking about it as it unfolds through fiscal 2018 for the forwarding side?
Bohn Crain: Well this is - so as we kind of mentioned a little bit earlier, we still have a good piece of our forwarding business comes from the independent agent stations. So, we don't necessarily have great visibility into that kind of sub-segment of the business, but I don't think anybody would say the economies in any kind of hockey-stick environment but we seem to be enjoying some kind of slow and steady growth. And we’re coming off of our seasonally slowest year. So at this point I would think we will certainly look better than a comparable prior year period. And I would expect we'll look better on a sequential basis as well.
Marco Rodriguez: Then switching gears here to the Lomas Logistics acquisition, I'm not sure if I caught any of this in prior releases, but the structure of that transaction has that been finalized and can you review what that structure is?
Bohn Crain: So that particular transaction this was basically a carve-out of a larger private company that was exiting this division and that was a all cash deal and accordingly discounted a little bit in terms of the of the multiple that we would otherwise pay in an earn-out structure.
Marco Rodriguez: Okay. So there is no earn-out structure on that?
Bohn Crain: Correct.
Marco Rodriguez: And I know that you provided some fairly basic high level financials for Lomas Logistics for the calendar year 2016. When we think about kind of layering that business into yours, should we be thinking about the same sort of seasonality or is there something a little bit different there?
Bohn Crain: No, I think at this point, I wouldn't attribute it as being particularly seasonal, this particular segment of the business. And I think there we would generally expect their historical performance to carry forward. So for '16 that was 2.3 million Canadian of incremental EBITDA into the business, so pick here exchange rate.
Marco Rodriguez: And last quick question, I’ll jump back in the queue. Do you by chance have what the post close balance sheet looks like for cash and total debt? I’m assuming that debt is probably the same.
Bohn Crain: So if I understood your question correctly, kind of in connection with the closing of the Lomas transaction which occurred on April 1, we actually funded the transaction on March 31 because we had to get capital kind of repositioned in the Canada. So if you look at that 331 balance sheet, you'll see cash looks a little high, but it's reflective of kind of the net advances from the credit facility and repositioning the cash to conclude that transaction.
Operator: [Operator Instructions] Our next question comes from the line of David Campbell of Thomas Davis and Company. Please proceed with your question.
David Campbell: Can you explain the increase in the gross margin in Canada? Is it sustainable or how would you, what's that a function off?
Todd Macomber: We demarketed a particularly unprofitable account. That was the thought, but that's the answer.
David Campbell: And that had very low margins or no margins.
Todd Macomber: Yes.
David Campbell: So that will continue then. That's a sustainable number.
Todd Macomber: Yes, sir.
David Campbell: And in the United States, you mentioned the truck brokerage margins are down like everybody else is. What were the company's gross margin then in the quarter without that truck what was down compared to let's say 24.5 that you reported.
Todd Macomber: I don’t have that broken out to that level. Obviously the biggest piece is the freight forwarding. So, I can tell you that we've been under a lot of pressure in the truck brokerage side of things, and that's obviously weighed on. But I don’t have that level of detail for you.
Bohn Crain: David, the U.S. brokerage business ultimately in the scheme of things is a fairly small contributor or piece of the overall contribution. So as that ultimately recovers which we fully expect it to, I don't think it will have dramatic effect on our consolidated margins, at least given the current size and scale of our brokerage.
David Campbell: So you wouldn't expect the gross margin percentage to be significantly - last year it went up from the March to the June quarter. I don't remember why that was, but would you expect the same thing in this year because it’s a seasonally strong quarter?
Todd Macomber: I think so. I mean, we'd have a little uptick in the overall margin, especially when you compare from the year ago period and then it's been relatively flat over the past four quarters. So obviously when the brokerage piece of it comes back, I think you’ll see a very small, like Bohn saying not really meaningful overall uptick in the overall gross margin percentage because it’s just a small percent of the overall picture.
David Campbell: But the increase last year that was related to the seasonal factors. Was it not?
Todd Macomber: Which pair are you looking at? I've got last quarter in front of me?
David Campbell: From March to June last year the gross margin percentage went up from 24% to 25%.
Todd Macomber: That's correct.
Bohn Crain: Then within the brokerage business, there is some seasonality relative to produce and it’s kind of temperature controlled moves. And so that's my - seat of the pants response to your question in terms of the seasonality within brokerage.
David Campbell: Okay. Are the serious player integration gone now or they still continuing in the June quarter?
Todd Macomber: Some of them gone, some of them continue, and it’s really ultimately driven by our deployment of SAPs TM. So we have cut the cost substantially, but there's still a meaningful chunk of ongoing cost at SBA, really perpetuating or sustaining SBA's legacy TM. That will continue until we’re able to migrate the SBA stations on to our new TM which I would currently target to be in the first half of calendar '18.
David Campbell: But you would expect the Lomas acquisition to be incremental to June quarter earnings?
Todd Macomber: Yes, sir.
David Campbell: There are no unusual costs associated with the acquisition.
Bohn Crain: Well, there’s going to be some cost to bring them over, just in the normal.
Todd Macomber: Not other than traditional deal cost.
David Campbell: Nothing like serious player and all that stuff.
Todd Macomber: Correct.
David Campbell: Right. Well, certainly it’s good to see you doing so well, and appreciate the answers. Thank you very much.
Operator: Our next question comes from the line of Kevin Sterling of Seaport Global Securities. Please proceed with your question.
Unidentified Analyst: This is actually [indiscernible] on for Kevin. Just wanted to kind of ask you about trends you're seeing good, bad, or flat as you look at April and the beginning of May here across the business lines.
Bohn Crain: On a tactical week to week basis, we have our best visibility within our forwarding world because we really track down the agency location or station by station basis kind of comparable week-over-week results and trend lines. So we’ve got our best visibility there, and I think we still feel pretty good about what we’re seeing week to week on a comparable basis and the trends. So that's our best visibility, and I think it’s positive from that standpoint. I think Canada continues to thrive, and with Lomas, we expect to see some improvements on that front. The ultimate wild card, not to belabor the point, but continues to be the U.S. brokerage operations and kind of when and how will that market begin again to turn. And unfortunately, we don't have much good visibility to effectively respond or provide much color other than to say, we don't particularly like the way it feels right now, and we’re optimistic. You probably read more industry reconnaissance than I do, but there’s certainly some out there saying, the second half of the year capacity is going to tighten, pricing is going to improve. I can't comment on how reliable that is or not.
Unidentified Analyst: Seems like the second half of every year is going to be the best no matter what.
Bohn Crain: Exactly, that's why I'm not going to let you walk on that limb.
Operator: There are no further questions over the audio portion of the conference. I’d now like to turn the conference back over to management for closing remarks.
Bohn Crain: Let me close by saying that we remain very excited with our progress and prospects here at Radiant, and we remain very bullish on the growth platform that we've created, and the scalability of our non-asset based business model. Our 10-year first to market advantage in executing our multi-brand strategy and consolidating agent-based forwarding networks, our ongoing investment in technology and low leverage puts us in a unique position to support further consolidation in the marketplace. We believe this represents our longer-term and almost perpetual opportunity and we continue to invest in technology and our people with an eye towards building out a world-class scalable back-office infrastructure to support a much larger enterprise going forward. We are patiently persistent in the pursuit of this long-term vision which we believe over time will deliver meaningful value for our shareholders, our operating partners and the end customers that we serve. Thanks for listening and your support at Radiant Logistics.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time. Have a wonderful rest of your day.